Operator: Greetings. Welcome to the Blue Bird Corporation Fiscal 2022 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mark Benfield, Head of Investor Relations. You may begin.
Mark Benfield: Thank you, and welcome to Blue Bird's fiscal 2022 first quarter earnings conference call. The audio for our call is webcast live on blue-bird.com under the Investor Relations tab. You can access the supporting slides on our website by clicking on the presentations box on the IR landing page. Our comments today include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted on the following two slides and in our latest filings with the SEC. Blue Bird disclaims any obligation to update the information on this call. This afternoon, you will hear from Blue Bird's President and CEO, Matthew Stevenson; and CFO, Razvan Radulescu. Then we will take some questions. Let's get started. Matt?
Matthew Stevenson: All right. Thank you, Mark, and good afternoon, everyone. The first quarter of our fiscal year 2022 was filled with a lot of activity centered around strong demand and navigating to see a supply chain disruptions. It was also the first quarter that Razvan and I were in our respective roles. As I assumed the role of CEO on November 1, and Razvan became CFO on October 1. On Slide 6, you can see the demand for our products is now at pre-COVID levels. Our order intake for Q1 was up 18% year-over-year, supporting a record backlog of roughly $500 million. We believe there is a lot of pent-up demand out there as evidenced by the fact our dealer inventories are down 50% compared to this time last year. We are making adjustments in our operations for the second half to support higher build levels to maximize all the production our supply base can support. We would have loved to produce more buses in the first quarter, but we had a critical electrical component, sole source from a supplier that had a limited availability of microprocessors. Their inability to supply us negatively impacted our production rate and bookings. We have since engineered a second source for this critical component as well as the original supplier has improved its chip allocation. We are constantly driving engineering projects to create deviations and resource parts that are limiting production. Late in this quarter, we also saw disruptions in the supply chain driven by the Omicron variant of COVID. As we discussed during our last earnings call, the first half of this year's production is primarily comprised of units that should have been produced in fiscal year 2021, if we had access to the volume of components needed to support our production demand. Instead, these units have been pushed out into our first half at a cost basis that is now much higher. And with contractual customer pricing that was agreed to nearly a year ago, capturing little of the recent price increases and putting pressure on first half margins. We continued to monitor the inflationary pressures in the economy and are pricing in line with our expected cost increases. We previously announced total price increases of 11% and effective March 1, we are taking another 4% price increase for new orders that will equate to a total of 15% in less than 12 months, which is unprecedented for our industry. Slide 7 has our financial results and our ongoing business highlights. In the first quarter, we booked 1,149 units with sales of $129 million. This was 106 units less than the fiscal year 2021, but only $1 million less in revenue due to an increase in our average selling price by $4,000 and stronger parts sales. Our adjusted EBITDA was $4 million, $2 million less than the first quarter of 2021, and our adjusted free cash flow was negative $34 million, driven by high levels of raw and work-in-process inventory caused by supply chain disruptions. In the quarter, and since our last earnings call, we have accomplished a number of key items. We continue to make progress on our first foundational objective, which is taking care of our employees. We made critical upgrades to the facility during the quarter, including improvements to the cafeteria, break rooms and key engagement areas. We are also driving new safety culture initiatives to lower the incident rates. In November, we had the opportunity to meet in person with 92% of the Blue Bird dealers at our annual dealer meeting, which had not taken place in a couple of years due to COVID. We are very transparent with our dealer partners about the inflationary pressure in the global marketplace and the resulting need to revise our historic pricing and business practices to improve our collective profitability and a volatile macroeconomic environment. In the EV sector, we are continuing our dominance and saw our EV school bus backlog in Type C and D alone grow to nearly 300 units. We secured a 30-unit EV order for the Modesto City School, the largest single order placed by any school district to date. We are also awarded the EV business of the General Services Administration or GSA, a longtime customer. Our bookings for the quarter reflected an Alternative Power mix of 56%, up 10 points year-over-year. And our leadership in Alternative Power shows no signs of slowing down and extends past EV with Zum Services awarding us the business for 400 units, including 350 gasoline and 50 CNG units. Overall, in a difficult quarter, we still drove improvements in our business and focused on streamlining our operations so that we can ramp up volume in the back half of the year. I will discuss additional progress in our focus areas later in the call. But first, I would like to hand over to Razvan to walk through our financial results in more detail. Razvan?
Razvan Radulescu: Thanks, Matt, and good afternoon. It is my pleasure to share with you the financial highlights from Blue Bird's fiscal 2022 first quarter results. The quarter end is based on a close date of January 1, 2022, whereas the prior year was based on a January 2, 2021, close date. We will file the 10-Q today, February 9 after the market closes. Our 10-Q includes additional material and disclosures regarding our business and financial performance. We encourage you to read the 10-Q and the important disclosures that it contains. The appendix attached to today's presentation includes reconciliations of differences between GAAP and non-GAAP measures mentioned on this call as well as important disclaimers. Slide 9 is a summary of first quarter results for fiscal 2022 and fiscal 2021. It was a very tough quarter for Blue Bird with a difficult operating environment as a result of supply chain disruptions that have impacted many industries, especially those that use microchips and resin in their products. Further compounding the challenge, raw material prices continue to rise during the entire calendar year 2021, especially still up approximately 300% and aluminum up approximately 150%. The cost of overseas transportation increased nearly tenfold. Blue Bird's unit sales volume of 1,149 units was 106 units lower than prior year due to supplier constraints that limited our rate of production. Supply issues were experienced for multiple components across a number of suppliers. While the disruptions continue to impact our business through the quarter, our team has been working hard to find alternative sources for several critical parts that are constrained. In addition, Blue Bird had a backlog of over 4,800 units at quarter end or 3,700 more than at the end of the first quarter of fiscal 2021. Our definition of backlog unit is a firm order, which becomes non-cancelable within 14 weeks of the expected production date. At this time, our production capacity, which is constrained for the first half of the year, is filling up quickly with only approximately 2,500 slots left open for fiscal 2022. Our ability to complete and deliver all of these units on a timely basis will depend on supply stability of key components. Consolidated net revenue of $129 million was $1 million lower than prior year due to the lower production capability already mentioned. Of that, bus net revenue was $112 million, down by $5 million versus the prior year due to lower volume. In fact, our average bus revenue per unit increased from 94,000 to 98,000, which was largely the result of a higher mix of alternative power buses, 56% of bookings versus 46% last year due to the outstanding success of the new 7.3-liter engine in our gasoline and propane units. Supply-constrained EV sales were at a level of 40 units or 16 higher than last year. Parts revenue for the quarter was $17 million, representing an improvement of $4 million compared to the prior year first quarter. Over the past few quarters, we have seen improvement in part sales, which is an indicator that the normal work for school districts is starting to get back to pre-COVID levels, although there has been some disruption also in our parts business due to supplier shortages. Gross margin for the quarter was 12.5% or 140 basis points higher than the same period last year. The increase was driven mainly by the higher mix of part business relative to the bus business, combined with favorable product mix. As we noted on the fourth quarter call, we expected to see raw material and component cost pressure increase in the first quarter due to significant increases in steel and other commodities as well as the continuation of higher costs that are being experienced in all modes of freight. As Matt mentioned, we have previously implemented a total of 11% pricing increase to help offset these headwinds. However, this will only materialize during the second half of fiscal 2022 as we have to work through the current backlog first. Wherever possible, however, we took limited pricing increase actions even on the existing backlog with the impact expected to come during the remainder of the fiscal year. In the first quarter of fiscal 2022, adjusted net income was negative $2 million or $2 million lower than last year. Adjusted EBITDA of approximately $4 million was down compared with prior year, also by $2 million, while adjusted EBITDA margin was approximately 3% for a year-over-year decrease of 1.7 percentage points. Adjusted diluted earnings per share of negative $0.07 was also slightly down from the prior year. Slide 10 shows the walk from fiscal 2021 first quarter adjusted EBITDA to the fiscal 2022 first quarter results. Starting on the left at $5.8 million, lower bus volume in the period of 1,149 units, down 106 units, was offset by higher parts volume of 1.9, resulting in a $0.2 million favorable impact. Pricing net of economics was slightly positive in the quarter, driven by the positive effect of reevaluating the inventory we had on hand at the start of the fiscal year, which was bought at a lower cost than the new standard costs and partially offset by higher steel and commodity costs. As we look to the balance of the year, you will more clearly see the impact of higher commodity costs. Efficiencies were slightly better than last year. SG&A and engineering expenses were close to $3 million higher than last year, primarily driven by higher wages. Recall that during the first quarter of fiscal 2021, we had pay cuts and furloughs in place in response to COVID-19 demand drop and key engineering projects were postponed. Since then, pay has been restored and also increased due to high inflation and essential regulatory engineering projects have resumed. In order to align and energize our dealer body, we had our in-person annual dealer meeting in November 2021 in California, which was canceled the year prior. Additionally, in the other category, our joint venture results from Micro Bird were close to $1 million lower versus the prior year, but they have been also affected by supply chain shortages, predominantly the microchip shortage, which is impacting the chassis allocation from Ford and GM. Moving on to the balance sheet and liquidity on Slide 11. We ended the quarter with cash of $4 million, down $20 million from the same time last year. Debt was at $165 million or $5.7 million lower than last year. Net debt was $161 million, and it was $14 million higher versus the prior year. It is worth noting that we were in compliance with all covenants at the end of the quarter. There were two active financial covenants in our credit agreement for the period. First, the trailing 12-month EBITDA, as defined under the credit agreement was $28 million versus a minimum requirement of $14.5 million. Second, liquidity as defined under the credit agreement was $93 million at quarter end versus a minimum covenant of $10 million. Therefore, we remained in compliance with our credit agreement covenants. Moving on to Slide 12. We have already covered the cash and debt on the previous slide. The deterioration in operating cash flow and adjusted free cash flow was primarily driven by higher working capital and secondarily by lower profits due to lower volume. On Slide 13, going into fiscal 2022, our margins were and still are under pressure. We are facing increased cost for raw materials, freight, labor and generally supplier-driven disruptions. And while we have a substantial backlog, many of the buses will not benefit yet from the pricing actions we took in July and October of 2021. These effects, combined with current low throughput due to supply chain constraints will create a very low first half of 2022 profitability even by historical seasonally adjusted comparisons. We are taking actions as outlined on this slide in order to improve our costing stability over the medium term and reduce our pricing exposure going forward. Those actions will start to show results in Q3 of 2022 and become fully effective in Q4 of 2022 due to the time lag, especially on the pricing side given the current backlog. On the costing side, we have increased our steel hedging program and are working to extend it to our key suppliers. We have engineered second store suppliers for key components in order to increase plant throughput and are resourcing components where needed. We are also selectively exploring vertical integration options via make or buy analysis. On the pricing side, we implemented 11% price increase to recover non-cost increases. So far, the response has been positive, and we will continue to monitor our win/loss rate in the marketplace. To reduce our exposure, we already reduced our core guarantee from 90 to 60 days. Additionally, due to still higher raw material price and freight development, we have announced an additional 4% price increase effective March 1, 2022, for new orders. However, this will only minimally impact fiscal 2022 units sold. Another important change was the introduction in December of a variable pricing structure for our dealers and customers while maintaining a higher fixed price option is desired. While it is still early, the initial response is also favorable on this one. On Slide 14, looking at the balance of fiscal 2022. As previously discussed, we are expecting a difficult first half due to supply constraints and margin pressure, with the majority of the cost increases becoming effective on January 1 based on our supply contracts. We still expect to see gradual relief beginning in Q3. The supply chain constraints are resolved due to new suppliers coming on board and the 11% price increase begins to take effect. In Q4, we expect to be at higher production levels and with normalized margins as the full 11% price increase goes into effect and an additional minimal impact from the recently announced 4% price increase becomes also effective. Therefore, we are maintaining our guidance for fiscal 2022 previously released during our fiscal 2021 year-end call. With that, I will now turn the discussion back to Matt, who will walk you through an update on our business. Matt?
Matthew Stevenson: Thank you, Razvan. I would now like to walk through progress on our key focus areas for fiscal 2022. Just as a reminder, on Slide 16, you can see our three foundational objectives. The first is to take care of our employees. The second is to delight our customers and dealers and the third is to deliver profitable growth. Around each of those, you can see the key metrics we track in the business. With those foundational objectives in mind, we are focused on four key areas for fiscal year 2022. The first area is our people, making Blue Bird a premier place to work, better engaging our workforce and creating an inviting environment where all our employees look forward to the opportunity to share their passion and ideas. The ultimate goals are to improve our cost and quality and reduce absenteeism and attrition. The second major focus area is on lean transformation, taking the production of Blue Bird school buses to the next level, building the foundation to implement a world-class operating system that drives our cost, improves quality, increases throughput and improves the working environment for our teammates. The third area is to expand our total addressable market. Now school buses will always be core. Yet there are some markets that take a chassis so similar to our school bus that I would call them an extension of our core competency of building great chassis rather than a market adjacency. We have excess chassis capacity, and these additional segments can help absorb overhead, offset the seasonality of the school bus business and assist us in retaining a more consistent workforce. Our final major focus area is scaling up EV. As we discussed extensively during our last earnings call, the EV market demand is heating up, and we have yet to even see the impact of the $5 billion in incentives recently approved in the infrastructure spending bill that will, pardon the pun, supercharge the increased demand for battery electric school buses. This increased EV demand impacts everything from our sales strategy, sourcing, production, transportation and infrastructure. We have a dedicated cross-functional team that meets daily that is focused on preparing Blue Bird for this bright future in electrification and strengthening our leadership position. Now let's take a look at some of our progress on Slide 17. On the people front, we upgraded the teammate facilities, including the cafeteria, break rooms, the main walkways. We also recently launched an employee app where teammates can get real-time information on schedule changes, daily production rates and other key topics. We have also put in place safety and employee councils to elicit teammate feedback on how we collectively improve. We have a passionate tenured base of employees that have great ideas for how to take Blue Bird to the next level. Now the lean transformation is just getting started with some of the basic, including aspects of visual management and 5S. We are also improving performance transparency in our facility with daily standup meetings on safety, quality, cost, delivery and people or SQCDP with stations visible for reviews with the production teams. We are also targeting non-value added work in our facility and see a clear path by 2025 to reduce our labor hours by 30% per bus. We are already working on initiatives to start to impact those numbers. The next slide focuses on our progress on expanding our total addressable market and scaling EV. The target segments we will focus on to expand our chassis business are motorhomes and last mile Class 5 and 6 delivery vehicles. There is a clear need in this space with only two main competitors. The total addressable market for all motorhomes and last mile chassis is roughly 30,000 units, effectively doubling the addressable market for Blue Bird. We want to concentrate on offering a chassis for the higher-end Motorhome segment and the EV-powered last mile delivery vehicles. As I mentioned, I wouldn't even call these adjacencies. They are more of an expansion of our – two of our core competencies, and that is chassis design and assembly. These segments only really need minimal engineering from existing school bus chassis design. We are progressing on the engineering, and we are in the final selection process for the EV powertrain for the last mile delivery chassis. The discussions with potential customers are also progressing, reinforcing our belief in the market for a need for an OEM engineered chassis solution backed by the aftermarket support of a proven company with a great dealer network. On the EV side, we have made plans to scale up our production from our current capacity of 4 units per day to 12 per day by the end of this year with a goal of an annual output of 4,000 units by 2024. Beyond that, our goal would be to add an additional 2,000 units of capacity, which would support our volume for the long-term outlook. To enable our ramp-up in EV, we are repurposing an existing facility on our campus for dedicated EV chassis final assembly. We are also putting in the necessary infrastructure to accommodate DC fast chargers to provide charging of all the units in process. Now moving on to Slide 19. In summary, the outlook for Blue Bird is incredibly positive. In the second half of the year, the pricing starts to catch up with production, and although we expect the supply chain disruptions to continue, there has been some material improvement. Also, our lean transformation activities have enabled us to break some of the bottlenecks in manufacturing and deliver a more consistent daily production volume even with the ups and downs of parts availability. We continue to be the alternative power leader with our success in EV and other non-diesel powertrain solutions, and we haven't even seen the impact yet of the $5 billion in incentives for EV and cleaner emission school buses from the infrastructure spending bill. We anticipate the EPA rollout the program by the end of March and that we'll start seeing orders in the second half of calendar year 2022. And although the Build Back Better Bill seems to be on ice, there are elements of the program like increased funding for EV school buses that may still pass. Also, let's not forget the EV progress in Canada, which is an incredibly important market for us. The province of Quebec will only purchase electric school buses going forward, and we are one of only two players authorized to sell electric buses there. As we just saw, we are making progress and are expanding our total addressable market, yet that impact is not included in the long-term outlook we shared on the last earnings call. Blue Bird will be ready to take advantage of the opportunities when the market normalizes with respect to supply chain disruptions. In the meantime, we continue to move the business forward and stayed laser focused on our priorities and deliverables. We look forward to continuing to update you on our progress and development. We would now like to open up the line for questions. Thank you.
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Craig Irwin with ROTH Capital Partners. Please proceed with your question.
Craig Irwin: Hi. Good evening, gentlemen. Thanks for taking my questions. So…
Matthew Stevenson: Hey, Craig. How are you doing?
Craig Irwin: I'm great. So margins were actually pretty impressive given the headwinds out there, up, what, 575 basis points sequentially. Can you maybe talk us through a little bit more about what allowed you to get those margins in the quarter? I know total price is now 11% plus 4%. So that's a pretty good amount of price to put through. But what were the items that allowed you to see this short-term benefit? I mean that's a big step-up sequentially, and it was even a step-up versus last year?
Razvan Radulescu: Yes, Craig, thank you for the question. So on the margin side, we have a couple of elements going on. First of all, we have a higher mix of parts business relative to the bus business in this quarter versus a year ago. And as you know, the margin on the parts side is higher than on the bus side. So that mix is a favorable effect. Secondly, we managed to postpone some of the increases from our suppliers into the second half of this fiscal year. So we were able to be a little bit more favorable on that front as well. Third, we have a favorable mix from our alternative power buses that have relatively favorable margins compared to diesel as well. And we also start to see more and more EV vehicles into the mix. So between all of these factors, I think that is why our margins have been – gone up. But as I mentioned in our – it is mentioned in our 10-Q, we have one additional effect on the inventory revaluation, and it was also in the presentation earlier on. So we did get a onetime positive benefit from the inventory reval. We updated the standard cost at the beginning of October, and that gives us a onetime bump, reducing the unfavorable variances.
Matthew Stevenson: Just to add to that, Craig, you had mentioned the 11% in pricing. We won't see that in the units in the first half of our year. That starts to come in, in the back half.
Craig Irwin: Understood. So then you guys obviously did a really good job on expense control as well. But if we flatten out the impact of accelerated investing for executives that left, right, you're up about $2.5 million year-over-year. Can you maybe talk about what's going on with SG&A? You did mention a couple of times things you're doing for the employees and retention. But is there anything that's going to sort of structurally move this over the next couple of quarters?
Razvan Radulescu: Yes, I will take that question as well. Thank you. The baseline, the comparison to one year ago, it's extraordinarily low. If you remember, at that point in time, we had furloughs and we had pay cuts, and this is not a sustainable level for our business. So you have a couple of effects once we had to restore the pay to the normal levels. And in addition, we had to increase our pay for all the employees due to the inflation experienced in the economy and going forward to ensure we are competitive in the marketplace and retained our talent. So these are the two main items, I would say. In addition, we had a dealer meeting, which was canceled two years prior, and we had to take the opportunity to engage with our dealer network and align them and get them excited about the future.
Craig Irwin: Understood. So then if we could talk just a little bit about gross margins looking forward. I know you're careful about potentially giving guidance. But if we flatten the inventory revaluation impact, the benefit in the quarter, would you expect margins to continue to see a little bit of sequential pressure given the deliveries book? Or do you expect the deliveries to be incrementally favorable over the next few months?
Razvan Radulescu: So definitely, for the second quarter, we expect increased margin pressure because, as we mentioned in the presentation early on, we have many price increases from our suppliers becoming effective January 1, 2022. And we are still working through many units in the backlog that have prices set six to 12 months ago. So the pressure will be higher on the Q2 margins and they expect gradual improvement into Q3 and more favorable margins into Q4 fiscal 2022.
Craig Irwin: Great, thanks. I'll hop back in the queue and take my questions offline. Thank you.
Matthew Stevenson: All right. Thank you, Craig.
Operator: [Operator Instructions] Our next question is from Eric Stine with Craig-Hallum. Please proceed with your question.
Eric Stine: Hi, everyone.
Matthew Stevenson: Hey, Eric. Good afternoon. 
Eric Stine: Thanks, good afternoon. So I believe last quarter, you specifically called out approximately, I think, 25 parts kind of on average per bus that were causing you issues. And great to hear that you've got the one – you called out one primary where you've got a second supplier, but curious kind of as you think about those other main components, progress you're making in your presentation, you did call out that you are in the process of qualifying second suppliers and if needed, third suppliers. But would love to just hear details beyond the primary one that you called out earlier in the call.
Matthew Stevenson: Yes, absolutely. So just in general, to the point you brought up, like the previous quarter, we were averaging 25 plus parts a day missing. And so as I mentioned in my remarks, we have seen some material improvement of that. We're about, I'd say, 15% on average per production day, but it only takes one long pole in the tent to prevent us from setting up that chassis. So it continues to be a daily game of whack-a-mole, but we are seeing improvements and we're starting to extend further up in the supply chain to kind of look around corner, so to speak, to catch issues before they become impactful to our production. And in regards to that one component that I mentioned specifically on the call, that was an electrical component relative to our antilock braking system, and that supplier has improved their microprocessor allocation now where they're meeting our daily demand. And also, we have a Plan B should be needed that we have another supplier ready to go, so that way we're not going to lose production slots.
Razvan Radulescu: And if I may add, on the inventory side, we are also taking actions to pre-buy certain key components to ensure we have a little bit of safety stock or buffer so that we can react faster in case some of the shortages happen unexpectedly.
Eric Stine: Got it. That makes sense. Maybe just to clarify, so it sounds like as you think about the cadence of the quarters here in the fiscal year that really it's going to be very weighted to the fourth quarter. And maybe I imagine this from the last quarter, but it did seem like last quarter, you thought it would be more of a 3Q, 4Q event. I mean is it fair to say that you're trying to be a little bit more cautious on that because while you're making progress, there are still issues? Or would you kind of view that view of recovery and that it's really time in the fourth quarter is basically unchanged versus last quarter?
Matthew Stevenson: Yes. Eric, if you're talking with regards to supply chain, I think we're just being cautiously optimistic, right? We've seen, as I mentioned, a material improvement from 25 to 15 parts per day. And if you're talking relative to pricing, we have this first half of the year where we don't have really any of that impact of 11%, and we gradually start to pick that up through the third quarter and then, of course, in the fourth, we start to fully realize that. And then we'll pick up some units, but it will be marginal relative to that additional 4% we just announced.
Eric Stine: Okay. All right. Now that makes sense. Maybe a good segue to the pricing. I know you did last quarter kind of unveiled the variable price model. But I know you're also obviously increasing prices for the fixed price option. Just curious kind of what you're hearing from your dealers, what's going into that decision, given all the moving parts?
Razvan Radulescu: Yes. Thank you for the question. So we introduced the concept of the variable pricing at dealer network at the end of last year, and they put it in effect early this year. The initial reaction is positive. So some dealer appreciated the opportunity to have a locked fixed price. And some appreciate the opportunity to have a bit more flexibility into the future. It's a bit early to call it. So I think we need a couple more months to have a more statistical relevant base, let's say. But overall, I would say the message was clearly understood by our dealer network, and it's something that we absolutely have to do in order to align the equation on the pricing and costing given the current inflationary environment.
Eric Stine: Okay. I will take the rest offline. Thanks.
Matthew Stevenson: All right. Thank you, Eric.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Matthew Stevenson for closing remarks.
Matthew Stevenson: All right. Thank you, Kyle, and thank you to all those joining us on the call today. As you heard during our prepared remarks, incoming orders for our school buses continue to trend at pre-COVID levels and our backlog is at a record $500 million, and we are continuing our dominance in alternative power buses. Plus we are making progress on our key focus areas, improving the workplace for our teammates, transforming our processes, scaling operations for the growth in EV and expanding our total addressable market. The supply chain disruptions we have seen over the last few quarters appear to be moderating, and we expect recovery to support ramping up production significantly in the second half of this fiscal year. We look forward to updating you again on our progress next quarter and appreciate your continued interest in Blue Bird. Should you have any follow-up questions, please don't hesitate to contact our Head of Profitability and Investor Relations, Mark Benfield. And thank you, again, from all of us here at Blue Bird.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.